Marc Dubreuil: Good morning to all of you. We are here to present our First Half Results for Fiscal Year 2021. As usual, I am going to make an introduction then our Chief Executive Officer, Éric Vallat, will make for you the business review of that first semester, and as usual and as also for many times before, our Chief Financial Officer, Luca Marotta will give you a detailed review of our financial results. Of course, after that, we will be ready to answer to your questions. So you have already seen this morning our results. 2019/2020 was a singular year. Remember that we were nearly all closed down with no operations, nearly no sales at the end of last fiscal year. So 2019/2020 was quite singular, but 2021 started also on a very difficult position for us with COVID-19 taking its toll on traveling, gifting, gathering and celebrations, which are the key moments of our spirits. These are the times when people are delighted to drink off one of our fine spirits or are ready to buy – well, were already in the previous regular years were ready to buy one of our top quality bottles, thinking of a very nice time where they could celebrate with others. So at the beginning of this fiscal year, we had lost all this. But the truth is that despite the global pandemic, the Group has managed to revise up its sales and earnings outlook consistently on the last six months. And in fact, we expect to deliver a very, very strong year 2021 in spite of that context. We think that the Group’s experience of crisis, its size and agility, the amazing commitment of all its employees who worked effortlessly to keep back the company on track, and last but not least, the strengths of our spirits brand equity are making the difference. So in this first half, our sales declined by nearly only 18%. Why do I say only is because we had a very, very low first quarter, but we recovered very much on the second quarter, and our operating margin remain strong at 24.7% and our net profit margin, excluding non-recurring items is only down 1 point to 15.1%. On September 30, our balance sheet is extremely strong with a net debt-to-EBITDA ratio of close to 2. So clearly having been around for centuries help in these challenging times.
Éric Vallat: Thank you very much, Marc, and good morning to everyone. I am now going to take you through the business review and then I will give the mic to Luca Marotta, who will deep dive in the financials. And I will start by saying a few more words on our good margin resilience as was explained by Mr. Hériard Dubreuil. Our sales were down 16.4%, despite an amid global pandemic, very much impacted by COVID-19 obviously, and in particular, by the weakness of the on-trade channel as we witnessed from the first quarter across the world and the collapse in duty-free sales. But this was partially offset by strong off-trade consumption in a number of markets, such as the U.S., the UK or Australia driven notably by e-commerce, but I'll get back to it. But also by the recovery in China, which was gradual, but started earlier than what we expected. We had expected a gradual recovery from June and a full recovery in September. Actually, as I said earlier and before, the recovery was almost full speed already last summer with the famous 80%, 80%, 80%, 80% of the on-trade reopened, 80% of a frequency rate as well as 80% of the people not wearing their masks anymore. The Group sales were down in Q2 4%, which highlights, let's say, not yet a full recovery, but a much better Q2 compared to the initial decline of 33% in Q1, but we'll get back to it. In that context, we are pleased with the resilience of our current operating margin, which is standing at 24.7%. This is 2% below last year in organic terms. Due to the lower gross margin and better control of our costs on the other side to compensate, but I will further detail. So the gross margin was down 2 points in H1, but if you look at it over two years, it's actually a gain of 2 points. As I remind you that last year, we had gain in H1 4 points versus the year before. This is due to less celebration, less gifting and less travel retail, which is more particularly impacting the higher range of our portfolio. The A&P ratio was down 0.6% as a percentage of sales. So as you can see, we maintained it relatively speaking. As in fact, the cut in non-strategic investments was partially offset by a significant step up in the digital spend, which increased by 135% versus last year. As I said, the distribution and structure costs were well under control and the ratio is only up 0.4% versus last year. Lastly, and to conclude, we have a slightly favorable impact on the currency side of 0.2%. So all in all, our net profit stand at €65.2 million minus 23%, but the net profit margin – and the net profit margin stands at a strong 15.1%. If you look at the sales growth by product division, well you will see that Cognac recorded minus 18.1% in organic versus last year, this is H1. But Q2 showed a significant improvement as the downside was limited to 2.5% versus 39% drop in Q1. So we are on the path of recovery, and this will reflect in our expectations for the coming quarters. The Liqueurs & Spirits also improved in Q2, although to a much lower extent with the Q2 down 11% compared to 17% in Q1 and Partner Brands grew 2.1% led by a strong 26% increase in Q2. And I will further explain later on. Now looking at the breakdown of the sales by product division. As you can see, it did not change much. Cognac is still, obviously a very important in our portfolio with 71% of sales coming from our Cognac brands and 26% coming from our Liqueurs & Spirits. I would say that the more noticeable change is on the regional split, which is very much influenced by the pandemic and the very good resilience of the U.S. within Americas. America is now accounting for 53% of our sales in H1. While this has been at the expense relatively speaking of Asia Pacific, which decreased from 31% last year to 27% this year and EMEA, which decreased from 24% to 20%. But let's look at it more in detail. So you should look at it by division, the split by region by division. Cognac achieved €305 million with Americas achieving 57% led by the U.S. despite a slowdown in Canada, in the Caribbean and in travel retail. This is due to the very strong resilience, and I would say even more the performance of off-trade in the U.S., but we will have more opportunity to detail, while Asia Pacific was clearly impacted by a much stronger lockdown than in the U.S. We shall remember that on the first quarter of the year, in China, everything was locked down. And when we say everything locked down, it means that one person per building was authorized to go out to buy for the whole building the food and beverage in the single store that was specifically open for it. So this was a complete lockdown, which does not compare to that of the U.S., which is why China has been much more impacted in Q1 and we saw a quick rebound afterwards. And obviously Europe and Middle East impacted by the lockdowns as well, and stronger exposure to on-trade, but I'll get back to it as well. If you look at the Liqueurs & Spirits, we have the same kind of phenomenon with Americas growing to 51% versus 46% last year, again, a very good performance of COP and our Whiskies. Now looking at the COP. In reported terms, we were minus 23.2%. This includes a currency impact of €1 million with a weaker dollar and no impact on the Scope. So if you look at the organic decrease – it's 22.5% decrease with a strong €66 million impact, obviously of the volume and the price/mix – and the price and the mix. This is related to the fact that as I said, gifting, travel retail and celebration have been turning down, impacting the higher end of our portfolio and our product mix. While also we decided, as we explained last time to postpone our price increases, as we believe that April last year was not the appropriate timing given the fact that the world was totally lockdown. A&P, where as you can see controlled with a savings of €15 million – €16 million, again strategy cuts being partly offset by very strategic investments and digital investment in general, and a good control of our costs. Generally speaking, whether it's T&Es, whether it's fees or structural costs, which helped us achieve in organic terms a COP that stands at 24.5% of our sales compared to the 26.4% of last year. Net profit, well as mentioned earlier, net profit excluding non-recurring items declined by 23% versus last year. Including non-recurring items, net profit declined by 28.1%. As you shall remember that last year, we benefited from the disposal of our Czech Republic and Slovakian subsidiaries for an amount of €6 million. Now looking at Cognac more specifically, as I said, the sales declined 18.1%. This is a combination of a decline of volumes by 8.1% and of value, price/mix negative impact by 10%. Asia Pacific declined double-digits in H1 as growth in China Mainland and Taiwan, which started from again in June, beginning July was more than offset by the decline in most other markets and travel retail. China Mainland, now we see a double-digit value depletion trends increase since end June driven by the on-trade being largely reopened. And we've witnessed strong Mid-Autumn Festival and a very strong W11, now we are the best performing international brand on JD.com and on Tmall as well. And this clearly bodes for promising Chinese New Year. So a real difference between first and second quarter and expectations on China to keep growing in the coming month, which are key for China. Americas posted a slight growth in the first half led by a good performance in the U.S. albeit well below the sell-out trends that we've been experiencing are important to notice. And this has been mitigated by, as I said, Canada or Latin America and travel retail, which were a much weaker exposed to tourism much more than the U.S. And lastly, EMEA dropped and dropped to double-digit and this is due to the weakness across most domestic markets and travel retail again, impacted by lockdowns except for this summer where we witnessed growth in some of our countries. The UK was a dynamic market unlike the others led by strong off-trade consumption and particularly, digital off-trade consumption. Now looking at the marketing initiatives. Well despite the challenging pandemic context, we've been working on two things. One is getting stronger during the pandemic crisis and the other one is preparing the future. So this slide is about getting stronger during the pandemic crisis. We believe we can leverage it despite the drama, it is of course, but also as an opportunity business wise, even though it's impacting us short-term. So we try to take advantage of our agility and our client-centric mindset to adjust to the situation and to strengthen further – equity of our brands. And in fact, we think that not everything is negative as I said during lockdowns in COVID. In fact, people have more time to spend and being educated. They are more receptive. They also have more money to spend because they are saving on travels and so on. And we witnessed that. We saw a move towards, not market move, which we believe Cognac benefited from particularly. I remind you that Cognac market share among the spirits in the U.S. is only 6% pre-COVID, so it's a small market share compared to its overall awareness and we grew to 7%. I remind you that 25% of the spirits – brand spirits, high-end brand spirits drinkers only drink Cognac and 25% – another 25% are considering. So the opportunity is potentially massive for Cognac in general, and we've benefited from – this time for education, probably more than some other categories. We saw an up trade from Brandy, and we also saw a move from other brand spirits to Cognac that we strongly benefited from. Now it's going to be our job to build on this, but we've gained the time in educating on Cognac. This is for sure. The second trend we witnessed is the amazing growth of e-commerce worldwide from plus 300% in the U.S., 200% in the UK, 32% in China. This is what we see globally, a very strong acceleration on e-commerce that we also focused on benefiting from, which is why you see a three marketing initiatives, let's say three types of marketing initiatives that we wanted to highlight. One on education on the product superiority, people having more time to dedicate to this; one on at-home entertainment, obviously in the context to increase brand relevance with animations around the Flavor by the Grill, food pairing and associations with DJs and others to have your parties at home and leveraging, obviously e-commerce. So you have a lot of initiatives worldwide. That one is enhancing The Remy Martin Sidecar that was displayed in Drizly. On the marketing initiatives, we also are investing on our future, focusing notably on a more client-centric approach and aiming at more client-centric model, which is one of our pillars for 2030, as you all know. So we've opened new pop-ups. This pop-up, you see on the top is an opening that we had in champagne for Remy Martin, very impactful in the very heart of the mold in champagne. And you see two openings of retails, one in Shenzhen, and one in Hangzhou that took place during the Q2 of the year. So we keep moving forward there. And we also enhanced obviously e-commerce as an opportunity for us to acquire a client data with the opening of our proprietary e-commerce site in the UK for retailers. And we've been strengthening our CRM operations. Here you have an example of one of the WeChat programs, we've been working in the UK, allowing to acquire data as well as selling directly to our clients. All in all what does it translate into a reported decline of 26.3% for Cognac in general with a slight negative effect from currencies due to the weakening of the U.S. dollar since last summer. But the Scope was marginally positive. Thanks to the initial consideration of Brillet Cognac brand since April. Now if you look at it in organic terms, it's a decrease of minus 25.1%. And like you saw for the Group, Cognac COP has been strongly hit by declining volumes, as I said, as a reminder 8%, but also by price/mix as already mentioned, less celebration and gifting, which impacted the mix besides price increases were delayed to October 1, they are now – and they have taken place now. This has been partially offset by savings in A&P. Not that much though, as you can see because we get non-strategic investment, but again, we insisted and we maintained our strategic investment particularly on digital. And the main offset came from the other costs, which were pretty well controlled with the minus €15 million even better than what we had initially planned. Thanks to the different cost cutting measures that took place and that I listed when I spoke of the Group in general. So overall, the COP margin decline is 2.8 asset ratio to 30.6%. This is it for Cognac. Switching now to the Liqueurs and Spirits. As you can see the decline is 14%. It's a mix of 19% decline in volumes, but a positive price/mix of 5%. Thanks to the good performance of Cointreau in the U.S. and the whiskey portfolio, which has been doing extremely well except in travel retail of course. If you look at it by brands, we have a slight organic sales decline for Cointreau. Thanks to robust growth in the U.S., in the UK, in Germany, in Belgium, and in Australia. In some of these countries, we had initiated campaigns that we've been steadily investing behind and this starts paying off. This was offset by the weakness in the rest of Europe, Asia Pacific, and obviously, travel retail. If you look at Metaxa quickly, we've witnessed a double-digit organic sales decline. You have to bear in mind that Metaxa is pretty much exposed to tourism, particularly in Greece in summer obviously, but also to travel retail. St-Rémy. St-Rémy, we saw also a double-digit decline, which is also largely due to a strong exposure to travel retail. While in fact, the brand enjoyed a strong growth in one of its key domestic markets for the future, the U.S. where the brandy-based sangria cocktail has been very successful over the summer. Mount Gay, same exposure to Barbados, which has been struggling and exposure to travel retail, so a double-digit growth decline, but this also hides a good growth in the U.S. and in the UK despite the reshuffling of the portfolio, which we expected to impact more the sales negatively. And The Botanist, again decline as well within the context driven by the short fall in Global Travel Retail, but good depletion trends in the U.S. which is also one of our key markets for the future. Lastly, for the Single-Malt Whiskies, we saw a very strong rebound in Q2 that drove to nearly flat sales. Thanks to a growth in almost all regions, but obviously Global Travel Retail. If we exclude the travel retail, actually our Q2 sales would have grown 8%. Of course, the impact of travel retail is massive. The marketing initiatives, quickly, as I said, were the overall for the Group when speaking of Remy Martin. But as you can see again, getting stronger during the pandemic crisis, this for us means working first on asserting our cocktail legitimacy. We know that cocktails are growing, growing worldwide, and obviously key in the U.S. and with Cointreau, we have a fantastic tool to build our legitimacy. We've been also working on leveraging e-commerce. We created first of its kind Virtual Cocktail Studio, explaining that the various cocktail you see there, like The Martini is made by – with The Botanist Gin, The Margarita made with Cointreau, and The Old-Fashioned made with Mount Gay. And lastly, we also adapted to the crisis and to the change and the shift that we had [indiscernible] lockdowns. And just one example, which might sound anecdotical, but which reflects, well. What we did is Mount Gay is very strong among the sailing community and we've been working hard on shifting from physical regulators to digital ones. And as such, Mount Gay joined the world sailing as the official eSailing partner and 13 nations have launched eSailing National Championships. And with Mount Gay support Barbados has become the 14th with further nations to be launched, so again, a way to adapt to the context and to switch from physical to digital events during the lockdowns. Of course, we've been also preparing the future through innovation. You see here on innovation at St-Rémy which aims at modernizing the image of brandy and keeping on upgrading as well. But we also had a lot of newness on the whiskies with notably Port Charlotte innovation. But we did more than that. We invested for the first time ever in proper campaign behind Classic Lady, which is the spearhead of future growth with campaign that is named, no hidden measures further to their recent B-Corp certification. In fact, the goal of this campaign is to bring a new level of transparency to single-malt scotches several affairs. It addresses, in fact, the need for more education and awareness around factors affecting flavor in single-malt namely quality and provenance of the distillers’ ingredients. So a nice step for award enhancing the Group and the specificities of Classic Lady.  So all in all, if you look at it, we had reported decline of 11.1% and 13.4% in organic. The currency effect was a slightly positive. As you can see €0.6 million and the Scope was marginally negative as we started investing behind the newly acquired Belle de Brillet brand. In organic, the main negative driver on COP was the volume decline, which was down 19% as a reminder, while price/mix was only slightly negative. As I said, thanks to the whiskeys notably and the growth of Cointreau in the U.S. This was partially offset by a cut in A&P, a significant cut which also reflects in fact the importance of on-trade for the Liqueurs & Spirits brand. So obviously the on-trade investment naturally came down, which is why the cut in A&P is relatively speaking more on Liqueurs & Spirits than it is on Cognac. And on other costs, we were down €1.2 million, again, which helped to improve the COP or minimize the COP impact. So overall, the COP margin improves asset ratio by 0.6% from – to 16.6% from 16%. And looking at Partner Brands very quickly, good H1, which was driven by 26.5% growth in Q2 particularly. Thanks to the strong performance of key Belgium market during the summer. As you know, now Partner Brands business is much less than it used to be and the Belgium impact for Partner Brands in general was huge. Thanks to cost cutting measures and improved value per case. We also achieved a COP gain of €0.5 million in H1. I am now going to give the mic to Luca, who will take you through the financial results.
Luca Marotta: Thank you, Éric. Now let's move on on the detailed analysis of the financial statement and begin with the income statement. As already mentioned, organic sales declined 16.4% in the first half. On that basis, gross profit – gross margin fell 19.1 in organic terms imply any meaning at 2.1 point, 210 basis point organic decrease in gross margin. This margin decline is the consequence of three different effects. First one, volume pressure; second one, adverse product mix in particular for the Cognac division; and third one, delayed price increases. Recall that during March lockdown with the side and we communicate on that to postpone our usual price increases from April 1 to October 2020 for ethical reason. These price increases are now live. So our first half did not benefit from this price increase, while H1 last year enjoy significant price increases taken in April 2019. In terms of sales and marketing expenses, they were down 17.6% in organic terms in coherence with the evolution of sales. Within this total, A&P expenses were down around 20% organically. Although with digital expenses, very important, we realized at this point up 135% and our distribution expenses were down 15%. Thanks to the cost cutting measures put in place since the beginning of the pandemic in February and March. On the same line, our administrative expenses fell 14.3% on an organic basis. Also, thanks to the cost control measure implemented since the beginning of the pandemic. As a reminder, the cost control measure enabled us to reduce our global SG&A cost base, including hiring freeze and massive cut in travel and expenses and in consultancy fees, and in general day-to-day cost cutting efforts from all teams. On top of that, salary efforts were made from all employees from top to bottom. It is also important to recall that we achieved the result without the help of any government subsidies. Overall, we are well on track to achieve our €30 million COVID cost reduction target for the full-year 2021 as already communicated and stated of which one third, so around €10 million will be permanent. All in all, all inclusive, the current operating profit declined by 22.5% on organic basis and 23.2% on a reported basis i.e. after taking into account a slightly negative currency effect in a very marginal Scope [indiscernible] impact. Now let’s move into a very important slide, showing and analyzing the Group's current operating margin, which declined by 1.7 percentage point to reach 24.7 in the first half. These breakdowns into an organic decline of 1.9 points and positive currency effect of 0.2 points. So meaning that the decline in ForEx of €1 million was lower impact of the decline that we add in sales in terms of conversion rate. While we started consolidating Brillet in April, there was no meaningful Scope effect in H1 on operating profits on this line. So no Scope impact on the H1. So it's very important to focus ourselves to the organic decline of the current operating margin that was basically driven by the decrease in gross margin, while the A&P and distribution and structure cost ratios were pretty much flat at the end on a combined basis. So gross margin declined by 2.1 points as a result as already said or the volume decline adverse product mix and less pricing gains as already mentioned, compared to the previous year. A&P expenses ratio decreased by 0.6 points as A&P spend was down 20% when sales declined 16.4% organically over the period. We cut the number of unnecessary due to the situation on-trade events and events expenses in the current context. And in contrast, digital and strategic above the line advertising expenses were up sharply, as already mentioned. The ratio of distribution structure costs increased by very limited 0.4 point as the negative leverage of declining sales was well upsold by the full benefit of the cost control measure taken since last February to reduce our cost base. Now let's take a look to the rest – the remaining part of the income statement. Other non-recurring operating guidance were not meaningful at the end of the H1 for €0.2 million, while finance costs decreased meaningfully to €8 million in the first half down from €14.4 million last year. I'll come back to this point later on, on a later slide. As expected as guidance tax rate rose from 31.7% to 33.8% due to a deterioration of the geographical mix of our profit. By a debt, where we mean that the weakness of the Travel Retail business and the Asia Pacific zone in the first half, which both tends to have lower tax rate than the rest of the world impacted the tax rate. For the full-year 2021, we continue to guide to expect on a tax rate of 33% to 34%, meaning flat more or less compared to the previous year. Net profit from discontinued operation was nearly in H1, while we recorded last year €6.3 million net profit gain linked to the disposal of the Czech and Slovakian distribution subsidiary last year. As a result, our net profit bottom line came in at €65 million down 28.1% year-over-year on a reported basis. But excluding that non-recurring items, net profit came in at €65.2 million, down only 23%, and the net margin as already said, stands at a very resilient important level of 15.1%. So the next slide is showing the non-recurring items, which were not meaningful and results here is only accounted for €0.2 million with [indiscernible] business as usual other operating and non-recurring expenses. So nothing very important there. Let's now analyze a very important chart, which is the cash flow generation and net debt variation. Despite the context and a lower EBITDA, our recurring free cash flow generation improved in H1 compared to last year. We generated €32.5 million free cash flow to be compared to €5 million free cash flow in the year ago period. Yes, admitted it, it was driven by tighter grip on strategic investment, including both working capital and capital expenditure as well by force some delayed project due to the COVID-19 impact. We still expect, which is very important to reaffirm now. CapEx, capital expenditure to be around €50 million to €55 million in the full-year at this stage. In terms of strategic working capital, we have to remind you that H1 is not very representative of full-year trend as ODV purchases are mainly down in H2. On that line, important point, we continue to expect €70 million to €80 million outflow in the fiscal year all over the year 2021. Financial expenses declined in terms of outflow in coherence with the lower level of net debt, the average level of net debt and tax outflows also decreased as a result of lower profits posted last year. Other non-operation non-recurring cash flow improved substantially versus last year as there were only a negative €8.9 million compared to a sharp negative over €120.7 million last year. This was largely driven by the dividend payment this year. Firstly, because 80% of our shareholder opted for a dividend payment in share, beside that the cash portion around €10 million was paid in October, so impacting the H2 cash flows. Recall that last year, 100% of the dividends were paid in cash and in September, beside that last year, the Group granted an additional and exceptional dividend of €1 in top of the – to the ordinary classical dividend of €1.65. Proceed from asset acquisition, where €9.5 million outflow reflecting the Brillet acquisition in the first half. For your information on that acquisition, we consolidated as well as €0.6 million net debt along the global assets. So net-net, total cash flow for the period was at €23.6 million inflow leading to a lower net debt compared to March level at €427.3 million. This net debt was also down as well €31.6 million to be compared to its level in September 2019. Despite the lower net debt level in absolute value, our net debt-to-EBITDA ratio, A ratio increased to 2.04 compared to 1.39 last year due to the fact that the lower EBITDA level was more important that the stability in terms of the absolute value or the net debt. But having said that, 2x net debt-to-EBITDA ratio remains a very healthy ratio. One word on our net financial expenses, which were a global charge, overall charge of €8 million in the first half implying strong €6.4 million improvement compared to the previous year. Gross debt servicing costs improved marginally to €6.1 million to be compared to €6.3 million last year along with our cost of net debt, which managed to reduce further to 0.96% in H1 to be compared to 1.15%. Net currency losses also improved to €0.6 million losses in the first half compared to a loss of €2.4 million last year. As you know, this is a very volatile non-cash item related to the edging of Group’s non-euro debts and future non-effective flows. But the main driver of the financial charges improvement in H1 was the other financial expenses line, which amounted to €1.3 million this year to be compared to €5.7 million expenses last year. This €4.4 million reduction positive impact on net result reflects partial change in contractual terms with our wine growers since the start of the financial years that gives this kind of benefit. And in the full-year, we expect other financial expenses to land between €2 million to €3 million in absolute value. Let's now talk about impact on currency – on currencies and currency hedges. As already mentioned, the Group reported a slightly negative translation and transaction impact of €1 million in H1 in terms of operating profits. This mainly reflects a deterioration of the average euro/dollar translation rate over the period, which came out at 1.14 per euro in H1 to be compared to 1.12 last year. This is the gray line on the spreadsheet. Recall this add a negative impact in absolute value of €7.4 million on Group sales in the first half. Meanwhile, our average hedge rate, the red line remained broadly stable compared to the previous year at 1.16 U.S. dollar per euro. Now this hedge rate is slightly deteriorated versus its level at the beginning of the year, which was 1.15. That's the reason why there was a slight change in the guidance. So we thought it was important to update this guidance as you can see in the next spreadsheet and talk a little bit our best estimation because the environment is very volatile, also macroeconomics, and not only on ForEx, which sometimes are very much of a consequence of the macroeconomics movement. Assuming an average euro/U.S. dollar conversion rate, translation rate of 1.16 in the full-year i.e. implying a spot rate of 1.18 in the H2 and the euro/U.S. dollar hedge rate of 1.16 for the full-year of 2021, we now anticipate €40 million headwind on sales and [€50 million] headwind on operating profit on full-year level. Currency being very, very volatile, I repeat, and we remind you what very important, which is the sensitivity. €0.01 increase – theoretical increase in U.S. dollar compared to the euro in terms of hypothesis is delivering €4 million to €5 million gain on sales and around €3 million gain on operating profit. At this stage, we covered 85% of our expected net U.S. dollar exposure of which more than 50% with option. So we are in a cautious position, but still flexible. Now let's move on to an overview of the balance sheet was structure strengthened once again, in the first half with total assets and liabilities of €2.62 billion compared to €2.58 in September last year. On the asset side, this was mainly driven by global increase in inventory levels up €110 million to reach €1.38 billion. This is an historical figure for the Group. This H1 overall in terms of crew was not one of the best mathematically speaking, but this indicator is clearly a bidding one, is clearly a very strong one as well as free cash flow. So this is important thing to highlight. This is mostly the result of a significant increase in the purchase of young ODV in H2 last year, combined with lower sale in the first half. Stocks accounted for 53% of total, say of total asset up 4 points compared to the previous year. On the liability side, the increase was driven by the equity up €83 million as dividends were paid in the H2 this year, in October as the option to choose between cash and share also a little bit lengthened the process, while there were fully paid in cash in H1, the previous one. Net gearing, so the Group’s net-to-debt equity – net debt to the equity ratio decreased over the period from 33% to 29%. Thanks to a lower net debt compared to higher equity. Key events during the half year. Three key events occurs during this half year. On April 30, Rémy Cointreau acquired Maison de Cognac J.R. Brillet, and on May 19, our Bruichladdich distillery was certified B-Corporation. This news were already shared and detailed in June during the full-year earnings meetings. And on July 23, general meeting approved the unordinary dividend of €1 shareholders at the choice to choose between a payment in shares or payment in cash as already highlighted, 80% of our shareholders opted for payment in shares and the cash portion as already mentioned was paid in October. Lastly, a post-closing chart concerning the post-closing events. Since the closing of the half year on September 30, we announced the acquisition of majority stake in the Champagne House, J. de Telmont on October 16. This deal includes the brands, inventory, production facilities and property assets on its estate as well as vineyards in Champagne region. We see a significant potential for this brand for Telmont international development, while adding a champagne to our portfolio should also yield topline synergies with our existing brand in particular in the on-trade environment. Our ambition should be achieved while respecting the Telmont commitment in a certification process of sustainable and organic agriculture. Second post-closing event on November 12, French newspaper Le Point issued a ranking of the most responsible companies in France: Remy Cointreau ranked first, number one among the Food & Beverage sector and 26 overall among the 250 French companies. This ESG analysis was conducted by a third-party, clearly, German company Statistat. And we are obviously very, very proud of these ranking, there is rewards years of commitment and already tangible results towards more responsible growth. Lastly, on November 24, Board of Directors took place the Group during which a few evolution were awarded. Caroline Bois, which previously Censor was named member of the Board of Directors and member of the Audit-Finance committee in replacement of François Hériard Dubreuil, who decided to step down. François Hériard Dubreuil will however remain Censor of the Board. Caroline Bois is François Hériard Dubreuil daughter, and this change is part of the generational transition of the Hériard Dubreuil family within the Board of Directors as announced at the end of the Shareholder Meetings in the July 2019. For your information, the Audit-Finance committee is now composed by Ms. Guylaine Saucier, President of the committee; Mr. Emmanuel de Geuser; Mr. Jacques-Étienne de T’Serclaes; and Ms. Caroline Bois. So three of the four members are therefore independent members. Finally, the Board of Censor is completed with the appointment of Jacques Hérail, who is also a board member of Andromède, the family controlling holding. Jacques Hérail is a former CFO of the HAVAS Group. And Board of Censor now includes François Hériard Dubreuil, Hélène Hériard Dubreuil and Jacques Hérail. Thank you so much. And I will switch back my – you have the power – to Éric Vallat.
Éric Vallat: Thank you, Luca. And I will conclude with a one slide – slides sharing with you the outlook for 2021. So the remainder of the year. Just to tell you that on the back of first half, which was strong and better than we expected, we now anticipate the following for the remainder of the fiscal year 2021. One, a strong recovery in H2, I insist stronger, which for us equals to real, but it's a strong recovery starting in Q3, largely driven by the U.S. and Greater China; current operating profit to grow organically in the full-year 2021; and lastly, currencies and scope to reduce COP by €5 million and €3 million respectively in the full-year of 2021. Lastly, I would like to finish by saying again, that the COVID pandemic does not change our 2030 strategic vision. In fact, it even comfort our choices as it has been an accelerator of some trends that we strongly believe in among which the move of market of the Spirits industry, at home consumption and mixology, the rise of e-commerce, the growing environmental concern that is going to switch from a constraint to a real marketing tool somehow, and last but not least, the opportunity for the Cognac category to recruit drinkers from other high-end spirits of alcoholic beverages. So thank you very much for your attention, and we will now be happy to take your questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes in from the line of Laurence Whyatt, calling from Barclays. Laurence, please go ahead.
Laurence Whyatt: Hi. Good morning, Marc, Éric and Luca. Thank you very much. The questions, three from me, if that's okay. Firstly, on China, you mentioned that price/mix in Cognac has been a challenge through the COVID situation. As we see China recovering and with a strong Mid-Autumn Festival, strong [11/11], and hopefully a strong Chinese New Year. What are you seeing in terms of price/mix in the market at the moment? Is there any sign that we're seeing a recovery in high-end products, particularly going into things like [LOUIS XIII]? And secondly, in terms of A&P, you mentioned that you were expecting an increase in A&P towards the end of this year on previous calls. The news of a potential vaccine hopefully hitting the population of the world in the next few months, would you expect a faster recovery to the on-trade and therefore it will accelerate some of your A&P plans. And then finally on a simpler basis with the news of the vaccine, does that affect your thoughts around the Travel Retail business? And I was wondering if you could give us any real time insights on what you think currently in Travel Retail, and particularly if there was any impact from the Hainan Island for spirits sales. Thank you very much.
Éric Vallat: Okay. I'll take the questions, but you can feel free to compliment that you want too. First on the China price/mix and current recovery we are witnessing and the reopening of on-trade, your question was whether we could witness something special on the higher-end on the price/mix. So just as a reminder or to precise a bit more, indeed we saw and we witnessed a strong double-digit increase during [NAF], and we expect a strong Chinese New Year. This has been driven more particularly by CLUB, which has been growing steadily. And it's, let's say, a move. We consider it as a move toward market compared to VSOP, which is now almost anecdotical in China. As to the higher end, you are mentioning more particularly [indiscernible] XO, we noticed also a steady increase during NAF on XO and on retail where our sell-in is lower than our depletions. So we are cleaning our stock. So we had a strong – we had high levels of stocks as we – COVID started just after Chinese New Year pipe filling last year. So the answer is yes, we witnessed come back of the retails and XO SKUs for instance. Again, CLUB being for instance – for the moment the main driver, it's a bit early to tell more. As you all know, as we all know, it’s what I believe is that the higher end portfolio is usually the one which is the number one to be hit during a crisis because it's first from gifting being much less from travel retail and from less celebration, but it's also the first one meant to recover. So let's wait and see for the months to come. But yes, that's what we're witnessing currently. As to A&Ps, as you have heard, we are willing to invest in the coming semester to invest in our future. We believe we can afford it. We are not going to be crazy and the ratio of A&P is going to stay stable. Having said that, we are going to generate more sales and we're going to invest – re-invest as much as we can on A&P. This is driven by our confidence in the ability – our ability to grow in our key markets, notably the U.S. and China. And this is also driven by an expected recovery overall next year. Now it's very early to say when it will happen exactly. Honestly, we remain as usual confident in the medium-term and the long-term, but still cautious in the short-term, and that includes travel retail, which was the last element of your question. Indeed there are some good news on the vaccines around in the air. We are still very cautious for next year on travel retail. We don't expect it to rebound quickly. We are still expecting it to take probably another one to two years as before it comes back to normal and even more before it comes back to what it could have been with no COVID. So the message is, let's say, investment in our future, we see a recovery next year, but it's very difficult to assess when exactly and we remain very cautious in the short-term. And that's what I think we reflected in our comments.
Luca Marotta: One point to compliment the first answer, it is that we are very optimistic for the Chinese New Year for retails and also XO because XO was growing very much in the Mid-Autumn festival. And for the second part of the years and Chinese New Year, we are clearly very optimistic and we talk about stock level when you have a long route to market, a long chain of distribution, which is still a little bit the case because we are much more there than before, but still we have a part of the [indiscernible] made by our wholesaler. You discovered your overstock only when you have the final depletion, and in case of pandemics, where clearly an [external XRI] factor. So coming back to normal and these already the case and depletions level having more clear and classical on-trade environment with speed up depletions and refurbish the sell-in in a much faster way than we might think. So we are very optimistic as well.
Éric Vallat: And sorry, you had a question on Hainan. So just very quickly here to say that Hainan is indeed a fantastic opportunity. It's a China related tourism, Chinese related tourism. We expect almost 100 million visitors next year. And obviously we're proactively discussing with the key partners there that include obviously [CDSG] among others. We believe it's a fantastic opportunity for us to benefit from the touristic traffic that previously was probably going to Hong Kong and somewhere else in Asia as well. We believe that it's a great opportunity to have a good retail and nice retail presence to enhance our brands particularly in retails and Remy Martin of course, but we also want to make sure we do it the right way. And I'm speaking also here of price control. We want to make sure that we do not disrupt the great work we've been doing this year in making sure we have a good pricing control and policy. So we want to invest behind Hainan, but not at any cost. And this is the fine line we are working on like many other brands. Things going forward obviously, the Chinese way so quickly.
Laurence Whyatt: That's all very clear. And Luca you mentioned the benefits of the channel in China, I was wondering if you could just expand on what you think the stock levels are in China and in the U.S. at the moment?
Luca Marotta: So generally speaking, in the U.S. we are on a low side at this stage in terms of stock. In China, we are depending on the category is slightly lower or slightly higher, but can be mathematically reassessed before the impact of Chinese New Year. And the rest – remaining part of the world, emerging market in Europe with some exception like UK, Australia, some cherry picking countries, we are more on the high side. So it's a very different situation country-by-country. USA low side, China more or less overall fine, remaining part of the world, high side.
Laurence Whyatt: Excellent. Thank you very much.
Operator: The next question comes in from the line of Simon Hales, calling from Citi. Simon, please go ahead.
Simon Hales: Thank you. Good morning, everybody. A few for me as well, please. Can I just ask around the finance cost, Luca? I mean, could you give us a little bit more detail as to what's really changed with those ODV contracts and if those crucially, all those changes sustainable beyond fiscal 2021? And also related to the financials, the €3 million negative Scope impact that you expect in the second half, can you just give us a bit more detail where that's coming from? Secondly, in terms of trading, as we head into Q3, you've obviously talked very positively about Mid-Autumn Festival and the strength of CLUB and the share gain you've seen on some of the e-commerce platforms, you've gained share in aggregate of the Cognac category through Mid-Autumn Festival. And then also in terms of Q3 trading, I appreciate the U.S. stock levels, as you said, they're still quite low, but have you started to see some wholesale replenishment that you expected in the U.S. ahead of holiday season? And then just one final quick one, Éric, I think in your commentary around the Liqueurs & Spirits division, you talked about the fact that sales in quarter would have been, I think, plus 8% excluding travel retail. I just wanted to clarify what that number relates to? Was that the Liqueurs & Spirits division?
Éric Vallat: It was total group, so it was not Liqueurs & Spirits. I’ll let Luca answer the previous questions, but this was total group.
Luca Marotta: Okay. You want me to start with the first two – the first two questions. So finance cost, we talk a little bit in the previous year, but I will try to be more clear on that one because you have a clear benefit this year. It won't be forever. It is a clear benefit this year. We have partially changed our contractor terms with some wine growers. To make it simple, some of our wine growers were aging – our ODV for us in terms of – because in terms of capabilities they were not totally there on our side during a few years, but repatriating them into our own sellers after this aging period. For that, we are paying some financial charges. And now given our extra capacity in Cognac and all the work that’s been done by the teams of Remy Martin to increase – increasing the young ODV, we have the capabilities to internalize all that. And we are fully aging our ODV, positive impacting our financial costs on a specific base because it is the year and where you change then it will be a recurring item. So it's a specific one-off, but recurring in terms of – it's not extraordinary impact on our net result. Is not clearly something impacting our operating profit. It is impacting our net result. Scope minus €3 million, the scope impact, we said that already some months ago, but no problem, the integration of the two new brands, [indiscernible] and De Telmont will deliver this year in terms of topline net sales between €2 million and €3 million, but the fact that we need to invest to begin to develop the brand – awareness of this brand, and to make some adjustments also, in terms of internal operation of these two brands makes that the starting of this journey, there will be a negative impact. It's quite usual to have data on acquisition for the first year, which is minus €3 million. So it's the combined impact of the two acquisition. I repeat two or three positive Scope impact on €1 million in topline and €3 million – around €3 million negative in Scope in terms of operating profit.
Marc Dubreuil: And sorry, just to make it clear, growth for Q2 would have moved from minus eight to plus three excluding GTR. It's not because in spirits specifically.
Simon Hales: Okay. And then just around the Mid-Autumn Festival share and the U.S. stock replenishment trend?
Luca Marotta: You want me to answer Éric?
Éric Vallat: As you wish.
Luca Marotta: So Mid-Autumn Festival has an impact – had an impact on clearing our vision of the year. So will be some impact. But just remember that also the timing of the Chinese New Year is later this year. So we have a reverse impact compared to the previous year. So we might have between €8 million and €10 million for China. For Asia Pacific, lower sales in the Q3 than the normative one and increased in Q4 because of the timing of the Chinese New Year at this stage. But still very assured that the Greater China will continue to increase its performance not only in the depletion, but also in sell-in. H1, China was up in sell-in low to mid single-digit and depletions in value, high single, low double-digit for the China. This will still continue to increase in terms of sell-in and sell-out, even taking into account of the €8 million to €10 million switch between Q3 and Q4 compared to the historical pattern of Chinese New Year. Q3 USA will be a strong realignment between sell-in and sell-out. So the recovery at Group level clearly will be driven in the H2 by already strong Q3 and profiting of strong U.S. and strong Greater China. Then some other countries as said, UK, Australia, some other country inside Europe that it's not important to detail at this stage, partially Germany, partially some was a little bit more than – better than expected Spain. Overall, the remaining part that will still be very complicated, travel retail on top. On stock level, I repeat in the U.S., we are on a low side and in Q3, we'll see a realignment – progressively alignment between sell-in and the best approximation of sell-out in this part of this world, which is very benefit for our topline and profit and loss overall.
Éric Vallat: Market share wise, we've gained market share in China on COP from a small base because we still have a great opportunity there.
Simon Hales: That’s all very clear. Thank you.
Operator: Next question comes in from the line of Trevor Stirling, calling from Bernstein. Trevor, please go ahead.
Trevor Stirling: Good morning, Marc, Éric and Luca. Two questions from my side, please. In the U.S. in the first half we saw in the order of 70% volume sell-out in the numbers, since then economic support has been reduced and we've seen increased COVID. Has there been a deceleration do you think in the rate of sale in the U.S. in the sell-out number? And the second question again, huge supply situation and the ability to catch up in the U.S., is that still going to be constrained in the second half?
Éric Vallat: So as to the sell-out growth, we've seen a slight slowdown, but still a very strong double-digit growth we're witnessing week after week and gaining market share, particularly on our Cognacs, but not solely. We also see it on the Whiskies on Cointreau, so no real slowdowns, still very strong acceleration versus last year. And we don't see it fading until maybe on-trade reopens. Now you mentioned about the subsidies that could have boosted this demand. This might be difficult of course, to analyze deeply. What I'd like to say is we witnessed an increase from April while the subsidy started in July, so I'm not sure it's purely subsidies related. Second thing is, I think what we see is a real move towards the upgrade – the real upgrade that was already started before COVID and that is accelerating now. And again, I believe the last past few months have made us gain time in educating on Cognac. I remind you that we are only 6% of the total wine spirits before COVID. So I think it's accelerating the opportunity for us. As to potential supply chain constraints, obviously we were not prepared for such an increase. Now we've managed to adapt and that's why we expect a good strong second semester driven notably by Cognac in the U.S. reflecting the sell-out trend. Having said that, for me, the risk is more maybe on the bottling side, with COVID imagine we have a one case, two cases, three cases of COVID, and that forces us to close one line of production. This would have an impact probably or even more if you look at the remaining part of the year than the liquid availability itself. So this is where we see the risk, and this is where we are ready being very cautious, taking all the measures that can be taken to protect our employees and our staff and to make sure we can – there is no discontinuation in the bottling factory.
Trevor Stirling: Super. Thank you very much, Éric.
Operator: The next question comes in from the line of Richard Withagen, calling from Kepler Cheuvreux. Please go ahead.
Richard Withagen: Yes. Good morning all. Thanks. I have two questions, please. First of all, I mean, the strategy update in due and you talked about focus on XO and the upgrades of qualities in the Cognac segment. Can you talk a bit about the initiatives that you are deploying to realize that? And then the second question is maybe can you share your thoughts on the pricing power in Cognac versus other spirits categories in U.S. market?
Éric Vallat: Hello. Yes. Okay. So for the first question, XO and more generally speaking of the upgrade initiatives, first, I think it's important again, to stress the fact that for us upgrading means two different things. In the U.S., it is – the first step is really upgrading from VSOP to 1738. And in China, it is upgrading from VSOP to CLUB and XO because the market is more mature for the high-end Cognac. And by the way, let say, our intermediate, which is the part of the upgrade strategy, we shall not reduce it to XO. XO is a great opportunity as well. But we own this segment, so the challenge for us here is to take advantage of the market move and the fact that we can take advantage of a growing category of our own. For XO, it is more gaining and regaining some of our fair market share, knowing that we are much below than our overall market share on XO. So what are the initiatives we are taking? And I think it's still a bit early to assess because it's a full plan. We are building on XO. As you have understood driven by China, but not solely, it's a plan that goes from ATL to BTL, but also to a client-centric model because XO has a price point that deserves a specific client-centric approach as well, which is what we're working on also with the Chinese team. So it's a full plan that to be totally transparent to you is going to be implemented from January onwards. Now the only fact of highlighting our priorities, we should not underestimate that the beauty of portfolio management is to making sure our teams commercially speaking in the field, focus on the right topics. And I've been in a store myself, I spend three years managing [LOUIS XIII, in Avenue Montaigne] in Paris, 60 sales staff. I can tell you that the number one driver of the volumes is the motivation of the sales staff and their understanding of where their priorities are. And what we've done over the past few months is this refocus, choosing our facts, our [indiscernible], and this contributes to the results we have achieved so far, but much more to come. And the pricing power of Cognac, I like to say usually that we shall not take it the wrong way. It's not because we increase prices that we are high end, prices are the consequence of everything we do. So the pricing power of Cognac is the consequence of everything we do as a category and everything we do as a brand ourselves. As to the category, I think, when we see the move up market benefiting Cognac over the past few months, we see that we do have a pricing power. I think that it's our job to leverage this to grow our volumes, which will increase demand, and increase our ability and reinforce pricing power. So pricing power is the consequence. It happens that if you take the U.S., definitely the current trend is giving us some more pricing power than we probably had a year-ago a demand being very strong. Now, again, that's also why we invest on A&Ps and for the future of our brands because pricing power also comes from desirability, and this is what we're working on with some campaigns that will come next year, and that will contribute to this desirability and to make people beyond pure rational, which is the quality – outstanding quality of the product, but which will add to this rational, the less rational and more effective relationship with the brand and the category. And this is very important. This is how the big brands have been built. And this is also what we're working on.
Luca Marotta: And to avoid any misunderstanding, not on this strategic answer, but in pragmatical point of view, the fact that we are increasing – we increased the price in October 1, do not mean that we will not increase again, our prices in April. So it was for ethical reasons switched for six months that we reenter in a normal game of price increases in the beginning of the fiscal year USA as well.
Richard Withagen: Very clear, gentlemen. Thank you.
Operator: The next question comes in from the line of Edward Mundy, calling from Jefferies. Edward, please go ahead.
Edward Mundy: Good morning, Marotta. Couple of questions. But first, Eric, let’s come back to your comments around the Cognac market being 6% of the U.S. pre-COVID and about 7% today. I guess to that question, do you have a target as to where you think that could get to? And second, do you think this is increased frequency of consumption by existing Cognac consumers or you seeing new consumers into the category? The second question is around shipments depletions. You've got a lot of color on the call, but I was just hoping you might be able to provide a view as to whether you think that shipments will be ahead of depletion at a Group level in H2. And then the third question was around price increases, you got back into normal cadence from the October 1. Are you able to quantify what that price increase was and how does that refer to the price increase relative to last year in April 2019?
Luca Marotta: Éric, I’ll take the H2 depletions.
Éric Vallat: Okay, fine. Let's split. It's better to switch the speakers. So I’ll take question one and three and you'll take question two.
Luca Marotta: Yes.
Éric Vallat: Okay. On question one. Sorry, the sound was quite poor, but I understood that you were asking knowing that we grew from 6% to 7%. If I have an idea of how far we can get to and to be transparent to you, I am not going to reply precisely to this because I don't know what I know for sure is we do have potential to grow our share. Tequila is 12%. We have only 6% or 7%. This highlights the potential again, as I said, 25% of the high-end brand spirit drinkers only drink Cognac and other 25% are considering. So the opportunity is there. How far would it take us to? It's hard to say, and it's a category challenge. I believe that we do have room to grow more and that we have an opportunity to leverage what happened over the past few months. And you asked also whether it comes from recruitment or it’s our clients drinking more of our products. We know for a fact that it's both, I cannot assess the split between both, but we know that we see a recruitment movement either brandy drinkers who’ve been switching to Cognac, thanks to the fact that indeed there is less to spend on travels and they take advantage of it to upgrade. But again, this gives us the opportunity to educate on our products and we are gaining time there. But also we saw some people moving also from other high-end spirits to Cognac. So we are recruiting indeed and it is not purely and solely coming from our clients drinking more. We see the upgrade by the way in the amazing growth of 1738, which is even higher than that of VSOP and which has been a three-digit growth in several of – in many of the weeks we've been witnessing over the past few months.
Luca Marotta: The second question is what we have to expect as a financial community in terms of H2 sell-in to be compared to the sell-out. So situation is very different state-by-state, country-by-country. And the stock situation is clearly a different one. But overall in a simple word, we expect to increase sell-in in a very strong way. The word real is not softer than strong is the same thing. Real meaning if you want clear connection between the sell-out. So everything equals – possible with things that we will increase to be more realigned overall at Group level sell-in with sell-out in H2.
Éric Vallat: And your third question on price increases. So yes, we have increased our prices on October 1, as Luca said. And we've increased them, let's say, low single-digit for Remy Martin and for Liqueurs & Spirits and high single-digits for retails. What I'd like to say – and we had no pushback from our distributors. And as Luca said, we planned another increase to come at the beginning of next fiscal year. I'd like to say also that price is equally important to price increases is the way we manage also our stocks and on retails particularly we witness more healthy stock, which is also driving our pricing power.
Edward Mundy: Thank you.
Operator: The next question comes in from the line of Chris Pitcher, calling from Redburn. Chris, please go ahead.
Christopher Pitcher: Good morning, everyone. Thank you for the questions. Just a couple for me. The dramatic uplift you’ve seen in consumption in the United States, I mean, if you could hold on to those new consumers. Is it radically changed your inventory and your ODV purchase in the short-term? You need them to buy perhaps some more older aged ODV took to plug gaps to allow more for the VSOP and above products. And then secondly, a question on sort of interpretation, you said in the outlook statement this morning that you expect organic growth to be slightly tempered by FX and Scope, which I would interpret to maybe organic growth – organic growth will be above €8 million higher than 4%. Can I just confirm I've tested that [indiscernible], mentioned that phrase in the presentation. Thanks. And finally, on that, how much flexibility do you have in the cost space if the sell-in, sell-out doesn't pan out perhaps as much as you think to achieve that confidence in operating profit growth? Thanks.
Éric Vallat: So Luca I’ll leave you question two, and I'll take question one.
Luca Marotta: For sure. With pleasure.
Éric Vallat: Sorry, the sound was quite poor as well. But my understanding on your question is, whether what's happening in the U.S. and the dramatic increase we see, is it impacting ODV repurchasing? So first, I'd like to say that, obviously in quantities, yes, we are doing more than expected. And yes, there is tension in the region as usual. It has not eased, let's say, despite COVID on the sourcing side and we are prepared to fight as well on our side to get our fair share. So this impacts the quantities in total. Does it impact the split between the SKUs? And I would say yes and no, but much less than the overall quantities because the way I see it, it's also an opportunity for us to gain pricing power on VSOP. And the challenge is not purely necessarily in the long road to address the volumes of VSOP, while we know that this will end up being at the expense of the higher grades. It's a balance between addressing the request on VSOP, but also taking advantage of it to increase its specific pricing power year-after-year. Again, it is not dogmatic. The increase of VSOP is linked to the demand rather than the other way round. But what we are seeing currently as you said the strong and sharp increase is reinforcing our pricing power. So yes, it is impacting the total liquid we are buying, but we keep our strategy of using VSOP as a great hook and tool to invest further on the upper grades, and we will manage VSOP pricing according to its demand as well as we do not want to jeopardize the upper grades in the long run.
Luca Marotta: The second question is about the journey to the consensus on operating profit. So we are guiding a growth in organic basis, meaning that mathematically speaking, starting from €215 million last year, so same exchange rates, same Scope. So without considering the €8 million that you are mentioning five on ForEx at this stage and three on Scope. The minimum published level, we are engaging here the vision, which is €223 million, that we don't look that other way because let’s imagine that ForEx impact will be €12 million. We will not adjust investment in terms of a strategic A&P in the second part of the year to support H2 and the strong H1 that would probably appear in the year 2021, 2022, to be able to adjust and publish – what do we get in terms of published downturn? So we are guiding an increase in terms of operating profits on the same scope and on the same exchange rate of last year. Considering at this stage, I repeat €8 million on published, non-organic impact five on ForEx and three on Scope. In published rate, the consequence is €223 million at this stage, but it's not the figure you have to retain at organic.
Christopher Pitcher: Thank you.
Operator: The next question comes in from the line of Olivier Nicolai, calling from Goldman Sachs. Please go ahead.
Jean-Olivier Nicolai: Hi. Good morning, Marc, Éric and Luca. Most of my questions have already been asked. I've got one left. You've entered the champagne category with Telmont acquisition. What does it bring compared to Piper-Heidsieck points that you sold a few years ago, and how you came to expensive in the champagne category? Thank you.
Éric Vallat: So it’s a good question. Because indeed we quit champagne a few years ago and we are back. So I totally get it. My view was not there at that time, but my view is that Piper-Heidsieck had one difficulty additional one that was making the move towards the upgrade difficult, they had Heidsieck Monopole. So competitive brand leveraging the name as well. So I don't know if this is the reason why we quit at the time, but definitely, this was making for sure our life difficult. Why are we coming back to champagne? I would say before understanding why we come back to champagne, it's interesting to understand why Telmont, because in fact Telmont is interesting as it reflects our values, its generation, it's the fourth generation now and staying on board in charge of sourcing by the way its [Telmont] we acquire. And it's Telmont, the Telmont we acquired is in the path of being 100% agro dynamics. So that's also something very important, obviously to us, it's highly qualitative. It's been well – it's got lot of prizes and it is well appraised by all the certifiers you can find worldwide and it makes sense the category for us and champagne. For many reasons, one, it can help us increase our presence in countries where Cognac is potentially weaker. But also it's about addressing a clientele, which is in some countries at least younger and more feminine, which is of interest for us. And lastly, it's a way for us also to reinforce our attractiveness in a high-end gastronomic restaurants and obviously also in on-trade and the night having a champagne in our portfolio is going to help the rest of the portfolio. This is for sure. So for these reasons that we came back to champagne, we believe we have a great brand, that is a great addition to our portfolio. Now as to whether it's the beginning of let's say more investment behind champagne and so on. We have some brands whose mission in the group is to help sell also the rest of the portfolio or to enhance specific know-how. This is also typically the case of champagne with everything I raised. So we are going to invest behind Telmont to grow it. And this is our number one priority. As to potential acquisitions, further acquisitions, our number one priority is to focus in the next two years, at least to make it clear on our game changer, which is implementing a real portfolio management. And this is going to take two years, a real portfolio management approach throughout the group. Once we have achieved such, we would be prepared for more acquisitions.
Jean-Olivier Nicolai: Thank you very much.
Operator: The next question comes in from the line of Fintan Ryan, calling from JPMorgan. Please go ahead.
Fintan Ryan: Hi. Good morning, Marc, Éric, and Luca. Thanks for taking my questions. Two for me, please. Firstly, could you give some color on the price increases that you've taken and how that compares to what some of your peers have done so far in the market? And clearly, if you're getting to a situation, what you're seeing a few years ago, whereby you took extra pricing increases were ahead of betters when you reconsider taking the price increase in April. And then secondly, just in terms of the – I know you reiterated the 2030 guidance or outlook. But at that time, back in June, when you’re presenting, I think you’re saying that the first two or three years are years of essentially reinvestment. I had – before you sort of see the ramp of margins for the 2030 goals given what the outlook is for the second half of the year, just how the world has evolved generally in that timeframe. Is there any change to what your thoughts around through reinvestment into 2022 and 2023? In particular, I guess the balance between gross margins and A&P investment is going [indiscernible]. Thank you.
Éric Vallat: Okay. So on price increases, I think we hinted that basically, we have gone for a low single price increase digit on Cognac, Remy Martin and on the Liqueurs and Spirits and high single price increase on retails on October 1, we saw no pushback. Are we considering? Is this more than our competitors? To my knowledge, not everyone has increased prices already since the beginning of COVID. So I think we are in the first movers and we expect some other price increases from our competitors to come soon. On our side, yes, we plan on the second price increase for the beginning of next fiscal year. So that's in less than six months now. And it means basically that we are going to have two price increases in a row because we considered it ethical not to do it in April last year. But we also felt like we should not give up on this pricing strategy, which again has to be driven by the desirability of our brands. I guess this answers the first question. And the second question where maybe you can take it and I will compliment you.
Luca Marotta: Yes. So the journey to 22% in operating profit is clearly based on increase of gross margin that need to reach in 10 years, 72%. So what we are witnessing in the H1 is linked up with these three effect that I highlighted before. So there's a volume loss, adverse product mix and the cycling of price increases taken last year that are not there. It will be an increase in the H2 because we are seeing – expecting a gross margin to be in the global 2021 year flattish to slightly negative. So strong recovers in terms of gross margin profile of our business And we think that we’ll be able and we want to be able to increase gross margin in the next coming semester and years. So the intensity of the A&P will be fed by gross margin, and also partially the leverage on OpEx compared to their growth lower the topline. But the leverage on OpEx apart from this specific period of pandemic reaction will be more tempered; will be more in the second part of that in your plan. At the beginning, the gross margin is the clear key driver for the first five years to give ourselves the possibility to invest more in A&P. But all in all, before ratios, A&P leverage, we have to remind that the most important things is sales because without sales ratios also looks very, very different. So every single effort is there to improve not only our ratios, but clearly our sales, our market share both on depletions, but also even if sometimes there is some delayed effect in terms of sell-in. Do you want to compliment at some point.
Éric Vallat: No.
Fintan Ryan: Great. Thank you very much.
Operator: Okay. And there are no further questions coming to us. So I’ll turn the call back to Éric Vallat.
Éric Vallat: We are about to say its 10:45. Good time to close down this session. So thank you very much everyone in the name of Marc Dubreuil and Luca. And looking forward to speaking to you soon, ideally meeting you soon. Thank you very much. Have a good day.
Luca Marotta: Thank you.